Matthew Bellizia: Good morning, and welcome to the Dubber Corporation Quarter 2 FY '26 4C Presentation. The presentation will be done by today, myself, Matthew Bellizia, the CEO of Dubber; as well as Prasad Kasi, the acting CFO of Dubber. Prasad, please move forward to the key messages, if you can. So obviously, following the loss last year that we've talked enough about, we're targeting back to run rate breakeven in FY '26. So we're making progress back towards that, as you'll see through the financial slides. We're continuing a big investment in our [ AI R&D ]. That is going to be the future of the business. We're continually building out our call recording customer base, and that's a massive asset in that we have call recordings all over the world. But to really capitalize on that asset is to build really smart AI solutions and more and more AI solutions across the top that don't just do AI for AI's sake but actually help end customers improve revenue -- increase revenue, reduce costs or improve compliance, and I continue to talk about that. I see one of our shareholders on today, [ Chris Bellers ], who gave us a very good idea a few months ago, which we've also got into R&D at the moment. So that's going to -- we're really starting to work into really practical solutions for the end marketplace to take -- to capitalize on the asset we have, which is call recordings all over the world. We announced just prior to Christmas, a large North America CSP signing. This is significant, and they'll be paying us close to -- subject to exchange rate close to $4.6 million in this quarter, which will boost it. It's a 5-year network connection fee. And following that, we'll have subscriptions, which I'll talk to on the next slide. The reason we haven't named that partner as yet is it's up to them to come up with a press announcement, which they're currently working on. In fact, we only had a call with them half an hour ago, and they will be doing a joint press announcement soon. But being a substantial business, they want to lead the announcement and they're launching their product, which is incorporating Dubber to market, so we can't get ahead of them naturally. Some of the Q2 FY '26 financial highlights. Recurring revenue of $7.8 million compared to $8.2 million and total cash costs, again, reduced by 12%, and we're continually getting costs trending down. So we've done some pretty steady headway on costs. A lot of stuff is contracted, so it takes a while to roll off, and we're continually driving our cost base down, and that program will continue throughout the year. Nick obviously, our pivot now is, hopefully, the revenue shocks that we've had as [indiscernible] a consequences of some of the stuff that happened before us and did take a while. Hopefully, that's coming to a level, and we can start focusing heavily on product direction, sales, marketing. So that's going to be the future and the focus as we move into 2026, the year. Our CSPs are substantially unchanged and the recovery of funds is continuing, and we will talk about that in later slides. Next slide, please, Prasad. In fact, [indiscernible] into the CEO presentation. Yes, so the large CSP in North America, it is going to be -- it is a connection to their mobile phone network. We have hooked up to their mobile phone network. We've been working with this partner for about 8 to 10 months. We are in production in their network. So we're in production before we signed the contract. So we are getting close to a market launch. So the money we're receiving that now is for a 5-year network connectivity fee and complying with SLAs and other related services to make sure the product stays on the network and reliable. Additional to that is subscription revenue, and they should be launching their product and again, not getting ahead of them, but they should be launching their product at the back end of this quarter. And then we should see upside recurring -- sorry, recurring revenue upside coming after that. The other probably big thing it does, it gives us pretty good validation in market that despite what happened in 2024, which is now 2 years behind us, that if these guys are prepared to back us, why wouldn't everyone else? So that's going to be a good thing that we hope to leverage as 2026 goes forward that if one of the best brands in the world comes on board, well, it gives us a good story into the rest of the people. Next slide, if I can, please, Prasad. So some of the current operational priorities and updates. We continue to focus on revenue growth. So that's going to be so important in our product marketing revenue. We're still going to continue to drive costs, but this is -- we've got to pivot into growth, growth, growth into this year. We're always looking for operational efficiencies. We're still working on automating billing in this place. In theory, you add a license into here. We add a license that should automatically go into NetSuite and invoice the customer. We should be able to get that streamlined entirely over time. We have 3 products in the business now through acquisition. We have Dubber, we have the Aeriandi product in the U.K., and we have [indiscernible] . We are continually working on integrating those all into Dubber. I believe they should have been done post acquisition, but we're currently working on these programs now. Once we do integrate all these products, we get down to one platform, we drive a lot of cost out of the U.K. data center, which is probably going to be around the middle of this year. So we currently got Vodafone, who's currently our largest partner in the world, currently migrating their customers each week from Aeriandi to Dubber. So that's a positive move. That product -- that partner is moving their customers across Dubber every week so -- and they're selling our product out to new customers constantly now. So as we move up the data center, we'll do that and the call-in program, and then we'll get down to one product, a streamlined set of IP that we continue to invest in and get growth through. And I've talked about the recurring revenue focus, continually building the asset, which is voice recording and you think about the wealth and knowledge we've got sitting in voice recordings. Right now, I think our product forces you to go into our portal and drill down to find that data. I want to start to pivot our product direction to start sending that data to you. People are busy. Do people really want to log into a platform and drill down to find this wealth of data? Or should we just send it to their e-mails and say, if you're a sales manager, this is what you ought to know this month. If you're a customer support manager, you should want to know that. If you're a compliance manager, if you're HR manager, what all do you know that's going on in your business that we should bring immediately to your attention to drive deeper value into your business. So a little bit of pivot into more proactive reporting through our product direction. Next slide, if I can, please, Prasad. We're rebranding our business, not the legal entities, but you'll see all of our branding changing to [ Dubber AI ] -- the slogan unlocking the power of conversations because we -- there is a wealth of information in people's businesses in their conversations, staff talking to staff, staff talking to customers, staff talking to suppliers to know what's going on in your business, and we've got all that buried in data all through our systems. So if we can pull that out and automatically drive to people outcomes that this is what's going in your business. This is what you ought to know, this is what you ought to act on. So we're going to rename ourselves [ Dubber AI ] with this slogan, a little voice bubble at the end, unlocking the power of conversations. There's 2 core purposes of why we would do a rebrand. One, people believe that we are just call recording. Dubber in 2021, 2022, probably spent $20 million or $30 million on marketing around the world, crazy money, crazy spends. But one thing they did do is get the Dubber name well known globally. All over the world, people know Dubber as a call recording product. We want people to know that we're not just call recording. People walk up to our booth, yes, you're a call recording company. Well, we were just -- we are call recording, but we're also substantially AI now. So -- and real business solution AI. So we want people to understand we're no longer just call recording. We are call recording and AI. It also gives us a little bit of divorce from the past. The Dubber that does have a little bit of tarnish from what happened a year or 2 ago, 2026 with [ Dubber AI ] is a new Board, it's a new management. We're a clean business. We're moving forward in a positive and constructive manner. Next slide, please, Prasad. Our go-to-market strategy. We've hired a new Head of Marketing, Rob Weese, who we're pleased to get on. There's going to be a lot more marketing, a lot more exciting marketing through our business. Marketing should drive 50% of our leads into a channel-based business if we get it right. So we're looking to be a lot more strategic and a lot smarter with our marketing. So Rob has now joined us. He's in head office with me every day. We'll be driving what we do there. We're going deeper into verticals. We're going to target some certain verticals and actually drive real business solutions and own those verticals. The Microsoft call recording, the WebEx call recording, they're just a general mid-market product. If we go deep into verticals and drive real value to those verticals, we want verticals to start to understand that you can't operate without Dubber because we're driving solutions that help you drive sales, reduce costs or improve compliance in certain verticals. We continue to drive more CSPs as more ways to market, particularly recording as a service where they make it a joint product with other products that the company is offering. We're also trying to demonstrate more value to people. We are a feature-rich product. We are going to build more products that come with that, things that compete with other larger products in the world and bring more value to our customers by proactively doing -- I don't want to release all our product ideas now because we're in the public domain. But certainly, we're investing heavy in R&D to get smarter with driving AI solutions and bringing more value to our SKUs and optimizing the sales motions, driving more promotions, differentiating through high value in AI and upselling through different tiers through the SKUs stepping forward. I'll now hand over to Prasad to handle our financial update.
Prasad Kasinadhuni: Good morning, everyone. Reported revenue by quarter. So the reporting revenue for quarter Q2 FY '26 was $9.3 million, broadly stable, down only 1% compared to the prior quarter. Recurring revenue was $7.8 million compared to $8.2 million in the prior quarter. The reduction is reflecting mainly the residual impact of change in Cisco invoicing. But the underlying customer base remains stable, and we are focused on stabilizing recurring revenues by retention initiatives and targeted customer engagement. Operating cash flow run rate. So the operating cash flow run rate has improved substantially compared to the prior quarter. So the current operating Q2 cash-based cost is $9.5 million, which is 12% down compared to the Q1 FY '26. And the total annualized cash-based costs are at $38 million. This is like $5 million saving compared to Q2, and this is mainly due to the exit of surplus U.K. property lease, workforce optimization, automation and SaaS vendor rationalization. The cash flow is also further improved by additional AUD 4.6 million, which we're going to receive in Q3 from the Tier 1 North American CSP. So this will make our cash position really strong for Q3 and further. And as you can see the trend, both the lines are getting very close to us, the cost and the share revenue. So the direct costs. As you can see, the gross margin for Q2 has come up to 70%, which is a 1% increase compared to Q1. This is due to the ongoing reduction in underlying platform costs like our AWS and Azure costs, which are coming down. So this also includes the cloud platform and AI service consumption across the board and then the cost offset decreased by revenue in the quarter. So the operating costs continue to decline. Operating cost is the total cost less the direct costs. So this is now at $26.8 million annualized for Q2. This has come down by 15% when compared to Q1. So Q1 was $7.9 million, Q2 is $6.7 million now. So the group has begun to realize the cash savings due to the exit of leases, workforce optimization and other cost optimization initiatives, which we continue to focus and tightly manage our cost base. So the cost program is going to continue further into Q3 and Q4, and we're going to see more benefits through it. So the actual cash flow for the quarter. So the receipts we have is $8.6 million for Q2, which is a little bit less than Q1. This is mainly due to the timing difference of receipts due to the customer shutdown during the holiday period. The total operating cash outflow for the quarter is $11.2 million compared to $13.1 million in Q1, which is 15% down. And this is due to the cost saving measures put in place and reduction in one-off payments, which were made in Q1. So the overall cash outflow for the quarter is $2.6 million. And once we normalize this, this has come down to almost like nil. And the cash inflow was due to the directors' capital raise, which is around $765,000 for the quarter. We also have further $5 million loan facility, which has been undrawn as of 31st December 2025. So the normalized cash outflow, the $2.6 million, if you normalize it, we have like $1 million, which is like abnormal items, which are like term legal cost for term deposit recovery and also once-off restructure cost, which is around $920,000. And we also have working capital timing differences of about $1.6 million, where the payments were received during the first week of Jan because of holiday shutdown. So if we normalize these cash outflows, the normal items, the net cash was like nil for the quarter. Okay. Matt, I hand back to you.
Matthew Bellizia: Okay. Thank you, Prasad. The legal cases in going -- so the ASIC investigation, which we provide assistance when required. We don't really know where that's up to. That's ASIC's business as to how they're going and who they're pursuing. What was certainly interesting in December, I'm sure everyone is aware that we have taken action against BDO Audit [indiscernible] Pursuing them for $26.6 million based on their failure of audit, which is in the public record. ASIC has also proceeded action in December against BDO Audit over failing audit processes for Dubber. It probably tells me that it reaffirms our case that ASIC also believe we have a strong case against BDO Audit for not detecting that. So I think it gives us further confirmation that we'll do that. But as per the disclaimer, all proceedings and recoveries remain highly uncertain. We also have a claim against the Victorian Legal Services Board Fidelity Fund for the loss of monies. There -- I think some of the things in the ASIC case probably further support our claim there as well, to be honest. So there's a number of things going on in the recovery efforts and under the Board subcommittee, which is managing that. And I don't really have any further updates because we can't talk about that substantially. Moving forward to the focus areas of FY '26, and then we'll go to questions. So again, we're targeting the underlying cash flow breakeven of FY '26. So you can see that the lines are coming close together. Just reiterating moving customers to AI, driving increased ARPU per customers, improved marketing and growing sales, continually driving business automation and streamlining the internal part of our business, rationalizing 3 systems to 1. Our product evolution, focusing on end customers and really bringing value to end customers, bringing information to their table and driving deeper into verticals. So that's the focus as we go forward to finish this financial year. That's all we have. I'll throw open to any questions now.
Matthew Bellizia: So do you see the commencement of ASIC separate proceedings against BDO is a good sign validation for Dubber's proceedings against BDO? Yes, I do. And I also think there's potential that they might fight some of the costs that might even drive some of the case for us. So I believe it's a good sign and further validation that they've launched separate action on BDO and ASIC have obviously got more information available to them to us than us because they've got more powers to go and ask more questions and do further investigations. Next question. Can you comment on the status of your new current contract pipeline? My issue with pipeline in an indirect channel is it's often very large, but it's not very well qualified because we are not selling. It's the indirect channels that qualify. So my issue really is whilst we see these big pipelines all the time in sales force, it's not as well qualified when you have a direct channel that a direct sales force as opposed to indirect because we're reliant on what partners tell us as a potential prospect. So I can't really give you a strong answer on that. Are there any further questions? How much more revenue from VMO2 to still roll off? -- still -- there is still some revenues from VMO2 to roll off. Obviously, they thought they'd roll off in a month. They still have revenues on us. And we're still having conversations with VMO2 about potentially what we can -- whether we can retain some. And there's obviously no guarantee to those. I don't really want to quantify that as to how much more is to roll off because it's confidential information, but there are still some revenues to roll off. Just with the timing of cash payments, fair to say next quarter should be particularly strong with catch-up payments and receipt of North America contract type. Contract payment, yes, providing that contract payments made in this quarter, which it should be, and there's no reason it wouldn't be. It will be very, very strong, probably a record -- what should be an absolute record for the company's history in terms of cash payments in this quarter. And we did get a very big payment in week 1 of January, which it had been paid a week earlier, obviously, due to the Christmas break, it would have normalized last month's cash payments. Are you planning to stay as CEO and drive the company forward as it appears you are? Yes, I've actually invested a substantial amount myself, so -- which I think people could see my shareholding near on just under 5%. So yes, I am planning to be CEO, unless the shareholders have a different opinion. Are there any further questions? If not, we might wrap up in 30 seconds if there's no further questions. What are the key trends in regards to competitive landscape for recording as a service? Obviously, we have competitors in the market. We took some hits during last financial year, both on the loss of VMO2 and Cisco putting out their product. That should settle because what the pain we've seen should start to settle down that we had to withstand. There are other products often recording as a service. I think we're going to be in a good place. And I'll certainly be getting -- trying to get a lot of leverage off this one once we announce who the one we've signed up is around the world for other people to say, well, if they're going to buy it, why wouldn't you? So it's -- I think it should give us a fairly good strength and to continue to grow our position in the new brand and a new way forward with this recording as a service. Does Dubber foresee any further capital raising before the positive cash flow position? No, I don't, and I hope we don't have to capital raise again. I'm pretty keen on retaining cash. You can see what are we now 7-something, whatever Prasad gave us. We're going to obviously get a big influx again this quarter. We -- my intention is to run the place in the profit. I don't like running not for profits, I don't like running not profits. So the best we can, I want to run this pace breakeven and then growing into positive EBIT and then net profit whilst retaining a strong cash position is the focus of what a good business does. In terms of gross margins, where should we expect this to trend over the next few years? I think around constant in that 70s mark. We are driving cost out of our gross margins. We're constantly renegotiating some legacy contracts that we're dealing with as they come up. We've obviously got the cost of the data center, which we're going to get some direct cost savings when we bring that -- close that midyear. So combined with direct cost savings and some renegotiations, we should be holding where we are for the gross margin perspective. How close are you to announcing a new CFO ongoing. So I don't have anything particularly to give you right now other than we're in good hands still with Prasad doing a good job and our former CFO is still in the wings helping us out. Are there any -- here we go. What's the update on the money stolen by the last CEO? That was a question, not a statement from me. I gave you an update on the -- on where the recoveries were at. Obviously, the ASIC investigation of where that money went is between ASIC and whomever and whatever happened to those monies. I've provided an update already on the fact that the BDO recovery, Victoria Legal Services Board Avenue. And obviously, we've got action against Mr. Madafferi and Mr. McGovern. The last one is less hopeful, of course, because of the ability to recover those amount of monies out of individuals. But obviously, BDO -- ASIC pursuing BDO would -- you would suggest would give you some endorsement. They have a similar view to us that there is a case to answer. Any further questions? I think we're getting to the end. We're conscious not to keep running these past 30 minutes because people are giving up their valuable time. So on that basis, we might conclude now. Thank you, everyone, for attending. I hope we gave you some information about your investment and where you're taking your company. Thank you for your support, and good luck.
Prasad Kasinadhuni: Thank you.